Juha Rouhiainen: Good afternoon, good morning, everyone. This is Juha from Metso's Investor Relations, and I want to welcome you all to this conference call where we discuss our fourth quarter '25 and full year results, which were published earlier this morning. Results will be presented by our President and CEO, Sami Takaluoma; and CFO, Pasi Kyckling. And after the presentation, we'll have normally Q&A. And please note that we have reserved 1 hour for this call. And also a reminder of the forward-looking statements that will be used in this presentation. With these words, we are ready to start, and I'll hand over to Sami. Please go ahead.
Sami Takaluoma: Thank you, Juha, and good afternoon also from my behalf. Happy to talk through the highlights of the last quarter of the 2025. We saw the market activity to be very much in line with our expectations that also resulted then for our orders to grow on a healthy way. including also then at the end of the year, being able to finalize the 2 larger orders from the Minerals capital side. Sales growth was good, and that also drove then the increase in our adjusted EBITA euros. And worthwhile mentioning here in this page definitely is the strong cash generation that the businesses did in the Q4. Looking from the figures point of view, orders received EUR 1.5 billion for the quarter, growth by 2% compared to the comparison and worthwhile also here mentioning that the currencies did have an impact, so organic growth higher. And sales was EUR 1.4 billion growth from the period, 11% and exactly same growth percent for our adjusted EBITA euros. And from the relative EBITA perspective, same delivery as year before, so EUR 16.1 million. Earnings per share was EUR 0.14 improvement from the year before. And then as mentioned, the cash was strong compared to the comparison period. Looking at our segments. Aggregates have been performing throughout the year. And in the last quarter, strong orders and performance was recorded. Orders received growth was to EUR 307 million from the EUR 294 million. This is double-digit growth in the constant currencies. Growth was driven mainly by the European market, which has been showing the pickup throughout the whole year already. Equipment orders growth was 7% and the aftermarket was 1%. Sales side, also growth, so EUR 330 million for the period. Year before, it was EUR 290 million. Equipment growth in the sales was significant, and the aftermarket was reflecting the previous period, so that declined by 3%. Aftermarket share now from the sales perspective is 30% compared to the 35% a year before. And then the adjusted EBITA for the Aggregates segment, EUR 53 million growth from the EUR 46 million year before, and the margin also improved from 16.0% to 16.2%. Strong sales growth was supported both adjusted EBITA and the profitability development. On the Minerals side, orders, EUR 1.194 billion growth from the year before, and that's reflecting 5% growth in the constant currencies. Aftermarket orders grew by 5%. And if taken the currency into account, that was a strong single-digit growth in the aftermarket for the quarter. And as mentioned and as published, there was 2 major equipment orders, copper smelter and also then the gold processing plant. ales for the period, EUR 1.13 billion million, and that was also growth from the previous period. Aftermarket in this was flat and the equipment had a very good period, finishing the projects and creating also from our perspective, the capacity for the new orders and deliveries. Aftermarket share of the sales, 57% for the period. Adjusted EBITA EUR 190 million growth from the EUR 173 million year before and margin point of view, same 17.1% as year before. Adjusted EBITA was driven by the higher sales and equipment heavy mix kept margin still flat for the comparison period year before. And looking then the dividend part as the year is in that point. So the Board proposes an increase in the dividend paid by Metso. Proposed dividend is now 69% of the EPS from the continuing operations calculation standard way as we have been doing that in the past year. So 2 payments, one in May and one in October. Total payout will be with this proposal, EUR 331 million. Then I'll let Pasi to walk through the numbers a little bit more into detail.
Pasi Kyckling: Thank you, Sami, and good day, everyone, also on my behalf. Let's start with our profit and loss statement, where the Q4 sales increased 11% to EUR 1.443 billion, and this was driven by successful progression of several mineral equipment projects as well as good equipment delivery in our Aggregates segment during Q4. Equipment share was exceptionally high in the revenue mix and represented 49% of turnover, while aftermarket was 51%. On a full year basis, we increased the sales by 4% to EUR 5.24 billion. And then there aftermarket represented 54% and equipment 46% of sales. Adjusted EBITDA was up EUR 22 million in the quarter to EUR 232 million, and the margin was flat at 16.1%. On a full year basis, our EBITDA margin was 15.8%. In Q4, the equipment business profitability was at good level, both in Aggregates and Minerals supported by high volumes, whereas aftermarket profitability was at normal level. In Q4, we also recorded EUR 27 million of adjustment items and the makeup is basically 3 main components. First, we accounted provisions related to our Minerals restructuring that was announced earlier in 2025. Then we incurred Haggblom divestment-related losses during the quarter. And additionally, we had costs regarding one legacy project that we have still in our pipeline and which we are looking to complete during the year 2026. Additionally, in the discontinued operations, where we presented our Ferrous business, we accounted the final losses from that divestiture. And it's worth noting that early 2026, both the Ferrous divestment as well as the Haggblom divestment have been completed. Income tax rate for the quarter -- for the year was 24%, quite normal for our profit mix. In Q4, the tax rate was low at 21% due to the country result mix that we had during this quarter. EPS from continued operations was EUR 0.14, which is EUR 0.01 up from comparison period. Let's then look at our financial position and balance sheet where the overall position remains very healthy. Net debt end of the period was 1.1 billion and net debt-to-EBITDA KPI at 1.2x, well below our 1.5x target. And the evidence of the healthy situation is that Moody's in December changed our outlook from stable to positive while maintaining the Baa2 long-term credit rating that we have. Let me then close my part by a brief look at our cash flow and cash flow, like Sami already said, was certainly one of the highlights of our quarter. During Q4, we delivered strong cash flow from operations of EUR 365 million, and this was supported by working capital release of EUR 130 million during the quarter. Looking at the full year 2025, we delivered EUR 974 million cash flow from operations. And if I think this from the free cash flow basis, deducting CapEx and acquisitions from the operating cash flow and comparing that to revenue, we delivered 13% free cash flow margin, which is something we are happy with. With that, I would like to hand over back to Sami to talk about our strategy execution and outlook.
Sami Takaluoma: Thank you, Pasi. From the strategy point of view, we go Beyond strategy was launched in the Q4 and happy to report that the execution has started well. And one good indication is also that we measure our own employee satisfaction. And one question there is about the strategy, and we did see very high engagement level overall and also very high improvement in the strategy question, meaning that we have a full energized organization to deliver. And certain things are already moving according to the strategy. From the acquisition point of view, it happened after the Q4 closing of MRA Automation, it's Multiskilled Resources Australia company. This was a very good addition to the strategy road map that we have built. Company is a leading provider of automation and software solution for the ports and terminals worldwide. And now proudly the employees are Metsonites, and we are working for the synergies and growth through this acquisition. And then as mentioned, the divestment side, making the portfolio ready for the future. So we have completed the Ferrous business divestment and also the Loading and Hauling business, meaning Haggblom. Investment side, one thing to report here is that we are building a new rubber products plant in China to be a relevant player for this very fastly growing business inside China. And then also good to report the new sustainability targets that we got in the very early days of the year approved by the SBTi. And they are good ambitious targets and the most ambitious ones in the industry. So we continue in that sense as well as promised in our strategy. Then looking at the market outlook, we are expecting that the market activity in both Minerals and Aggregates will remain at the current level for the next 2 quarters. Reminder that tariff-related turbulences could potentially affect the global economic growth and especially the certainty level of that one and can have an impact on the market activity. And in our previously published outlook, the expectation was that it also remains at the same level. So we are expecting to see similar kind of activity from the market as we did see for the Q4.
Juha Rouhiainen: Thank you, Sami. Thank you, Pasi, for the presentation. And operator, we can now open lines for questions and answers.
Operator: [Operator Instructions] The next question comes from Chitrita Sinha from JPMorgan. The next question comes from Christian Hinderaker from Goldman Sachs.
Christian Hinderaker: I want to start with the Minerals OE development. I appreciate those the 2 big orders in the books for the quarter, which is nice to see. But if we strip those out, I get to EUR 220 million of OE in terms of order intake. That's down 22% Q-on-Q and 30% year-on-year. And I got to go back quite some quarters to get to at that low level. I'm just curious what's behind that? Is there a specific commodity weakness? Is it a timing effect as maybe you've alluded to on Page 7 of the release. It seems a little bit at odds with the strong commodity price unlock in permitting process and broader confidence in the turn you've had in recent months. I'll start there.
Sami Takaluoma: Thank you. Relevant question, and there is no real link for the commodity prices as such throughout the 2025 when it comes to the Minerals capital side. So we have been receiving a good amount of small replacement orders and smaller projects as well. And this is -- no change in that. They do fluctuate based on the month and also the quarter in question had the lower amount of these ones coming in. But there is no real change in the actual demand of that and looking at the pipeline and also looking at the start of the year, they are having the normal volume, but there were less of these in the Q4, as you also pointed out.
Pasi Kyckling: And Christian, just complementing when we look more in detail where the delta comes from, it comes from the sort of medium-sized orders in our order intake, the sort of base business, smaller orders that is at a very normal level. But in the sort of medium size of orders, we see this decline that you pointed out.
Christian Hinderaker: Maybe turning to the working capital dynamic. I think customer advances have been about 10% of revenue, at least in the first 3 quarters. How do we think that working capital item evolves? You've seen a step-up in large orders. Do you require a larger level of advanced payments on those large orders versus the midsized ones?
Pasi Kyckling: Thanks for that one. And indeed, on those 2 large orders that we have announced, we have also, during the quarter, received the prepayments and the prepayment size is sort of similar to other orders. So it's not larger than in other orders. And yes, it has a positive impact of some tens of millions in our fourth quarter cash flow, but not more than that.
Christian Hinderaker: And then maybe just finally, in the service business again within Minerals, were there any revenue gaps in the year as a whole, either as a result of customers moving to carry maintenance, say, in the nickel market or perhaps due to site-specific issues? We know there's been a lot of productivity challenges. So I just wonder if there's any gaps during the year.
Sami Takaluoma: Nothing significant that would have affected Metso service numbers as such. Of course, these are never good ones when there has been a lot of challenges in certain customers, but we have not had that kind of stake of service business that would have been creating any real impact for our situation.
Pasi Kyckling: The 2 main incidents at customer side, [indiscernible], those are there, but they are nothing new. They have been there already for some time.
Operator: The next question comes from Edward Hussey from UBS.
Edward Hussey: So just the first one, the drop-through of 17% in the Minerals business, which given only equipment revenues grew, it imply that this is the drop-through on equipment revenues. Is this the sort of normalized drop-through we should think about going forward? Or maybe put it another way, is 17% roughly what the equipment gross margins are?
Pasi Kyckling: Yes. Maybe I can take that, Edward. Thanks. And when we look at the numbers, we see the higher revenue impacting positively the capital margins. And if you think about our margins in Minerals capital overall at drop-through level, they are higher than 17%. So sales margins are greater than that.
Edward Hussey: Okay. That's helpful. And then just maybe just one further question. Just on the -- within the release, you talk about mining FIDs being slow. I mean, is the implication that the pipeline remains very strong? And is there any sense that these FIDs might accelerate into 2026?
Sami Takaluoma: Yes. We have seen already the change like coming to the end of the '25 that there is more activity remains high, but there's more closer to the final kind of situation in the negotiation and also from the customer side readiness to start to move and place the orders. And we see no change in this when looking now Q1 and then the rest of the '26 at this moment.
Operator: The next question comes from Chitrita Sinha from JPMorgan.
Chitrita Sinha: Sir, can you hear me?
Sami Takaluoma: Yes, we can.
Chitrita Sinha: I have 2, please. Maybe if I could just follow up on the Minerals margin. I mean here, clearly, the equipment mix was negative in the quarter. But I mean, going forward, how should we think about the path towards your 20% margin target should mix continue to be a negative?
Pasi Kyckling: Yes. I mean thanks for the question, and great that you got also through the line. We have, obviously, in our strategy to target to grow this share of aftermarket. And I think you can appreciate based on the numbers and looking at the history that we were extremely successful in Q4 in terms of recognizing revenue from those OE projects, which resulted to unusual profit mix. What I take as encouragement is that despite that mix, we were able to deliver okay numbers in Minerals, and that's a proof point that the system works. But of course, going forward, we are not looking to have, over time, this kind of mix, but rather higher share of aftermarket in line with strategy and then with that also, turning towards the 20% Minerals margin by 2028.
Chitrita Sinha: Very clear. And then maybe if I could just ask on the Aggregates margin. I mean here, the margin improved quite nicely in the quarter, and you were saying that you were bringing back temporary workers, I think, back into Q2. Do you think you'll need more people capacity if demand continues to be strong in H1? How should we think about this?
Sami Takaluoma: I think that is a very positive problem if that comes because that means that the main markets are active and the orders are coming in. And definitely, we have capability for that, and that's not going to be a challenge for us in that sense. Right now, we are in a good situation. We have a good capacity in the factories, and the work is happening, and people are working for the current level of business. But as I said, we, of course, have all the readiness for also increasing the product production.
Pasi Kyckling: If you look at what happened in Aggregates during 2025, a lot of equipment was delivered from inventory. So the finished goods inventory during the year went quite a bit down in Aggregates, which was, of course, a positive news. But then the consequence is that to deliver, for example, the same amount of equipment in 2026, we need to manufacture significantly more, which is positive. We need our people to do that. And the teams are now back in work since the spring time.
Operator: The next question comes from Klas Bergelind from Citi.
Klas Bergelind: Sami and Pasi, Klas from Citi. So first, I want to come back to large orders versus underlying. I think you said before, Sami, that we can't have both larger orders and underlying orders improving at the same time. One of the reasons why underlying orders were solid from mid-'24 was because of a relatively slow decision making on the larger side. Now we see the large orders coming through in a big way, but small- and medium-sized are down year-over-year. So should we then assume that the current level of underlying of some EUR 200 million, around EUR 800 million annualized is the right level right now and then add new larger orders on top? I was just interested in your thoughts on the dynamic there.
Sami Takaluoma: Klas, I don't fully recall that what quote you are referring to because these two are not really fully aligned in that sense that, let's say, underlying small-, medium-sized projects, they live their own life and they have their own drivers. And then these larger ones, they have different dynamics and approval process and so on. So they are not connected in that sense. And what I was now in this call saying is that there is a fluctuation. It's not constant month-by-month when it comes to these smaller ones, which are very important for us. And in Q4, we had 2 months with a lower amount. That's not so much to do with the large orders coming in it. It was more about those 2 months had less orders coming in and already reflected at the beginning of the year seems to have a normal level, if I call something normal.
Klas Bergelind: Got it. We had the discussion in November when we met. But yes, all good. Then my second question, coming back to the mix in Minerals. If I add back the warranty cost of EUR 5 million from last year, the margin in Minerals is down from 16.5% to 16.1%. And during the CMD, I think the message was that mix shouldn't be an issue for you to get to at least 20% margin. So obviously, as you said, Pasi, it's a pretty extreme quarter. But when you look at other peers, particularly upstream, think about Sandvik here; they have very strong equipment deliveries, no mix issue. So two questions on this topic. Do you expect the equipment margin to improve already in next couple of quarters? And when do you look to see your modernization orders with higher margin sort of going through the backlog and then boosting the mix? Just to understand the dynamic, when this mix can sort of start to improve?
Pasi Kyckling: Maybe, Klas -- and thanks for that. Starting from the upgrades and modernizations, which are aftermarket business for us, so there, the dynamic changed during 2025 when we started to receive those orders and have a good amount of those in the pipeline to be delivered now during 2026. And the expectation is that we continue to see some of those orders coming in during '26, and that is based on -- simply based on the customer fleet that is out there and from a timing point of view, requires those activities. Then when it comes to the drop-through, my take on Q4 is that it's encouragement that the capital business is healthy and can deliver. And like I already said, and you also reported or said as part of your question, it's not the normal mix. And we should not expect that we have this kind of a mix on a rolling basis going forward. We will continue to see the steady growth in our aftermarket business, and then that will be complemented by healthy capital business.
Klas Bergelind: Okay. My final question is on free cash flow. You're now at an all-in free cash margin, not operating, but all-in free cash margin around 12% for the year. So I just want to assume the underlying working capital ex the prepayments, receivables are up 2 percentage points to sales. Inventories are down by around the same amount. But payables and other liabilities are going up and creating -- it looks like they're creating a boost. I'm trying to understand if this is sustainable, i.e. better payment terms with your suppliers and what's going on, they're looking at other liabilities? I appreciate that, that was a very low level last year. But just to understand the dynamic on working capital, Pasi, would be very, very good.
Pasi Kyckling: Yes. Thank you. And if I quickly talk through all the three or four main components, starting from the prepayments, which we already discussed here. So yes, the prepayments from those 2 larger orders had an impact on our fourth quarter cash flow, and the impact was some tens of millions. So of course, significant, but I mean that's not sort of on its own behind the strong cash flow that we created. And on those projects, we continue to operate so that we run them on a cash positive basis throughout the project execution. Then if you look at inventories, that has been a focus area for us for some time. Now when you look at Q4 inventory numbers, I just want to highlight that the MCP business back to continuing operations has impact on inventories as well. We talk about some EUR 50 million worth of inventory. And if you do the comparison, for example, to the balance sheet, end of 2024, so that is just something to be noted. When it comes to payables, you are indeed right that we have gained some traction there. I wouldn't think that this is one-off activity. It's rather thanks to the work that our procurement people are doing to work with our suppliers and bring the payment times up in the discussions, agreements that we have with our supplier partners. And then finally, receivables, I mean nothing extraordinary, ordinary there. Continues to be a focus area to sort of make sure that our customers pay on time and in line with the terms that we have agreed with them. No material issues there to report, which is, of course, a good position to be.
Operator: The next question comes from Antti Kansanen from SEB.
Antti Kansanen: It's Antti from SEB. A couple of questions from me as well. And coming back to the Minerals sales mix discussion, I mean if we look at kind of the equipment orders in Minerals in the past couple of years, have been EUR 1.5 billion, EUR 1.6 billion, and that's the level of sales that you also delivered in '21. And the service book-to-bill is obviously better. So I just wanted to maybe understand better, how do you expect that equipment backlog to convert into sales during this year '26? Is the backlog longer, shorter than what it has been? And is there still kind of a contribution from early orders that could drive that top line into growth in latter parts of this year on equipment specifically in Minerals?
Pasi Kyckling: Thanks, Antti, for that. And from -- if we start from the backlog number point of view, the backlog in equipment is in substance the same as it was when we started year 2025 where the backlog improvement is coming from -- is from our aftermarket business, which is good because now we have significantly more, so it's starting point '26 compared to the starting point we had for 2025. Then if we think about the projects that in Minerals capital side that we will recognize during 2026, it's, of course, first to sort of bread and butter business, the small ones, which turn as they come. And then I mean, none of the bigger projects that we announced in late 2024 are fully complete. Yes, we have started to recognize the revenue, but they will contribute to '26 still. In some cases, it will go up to 2027. And if we think then about the new ones, I mean the smelter project and then the modern [indiscernible] gold plant, so there, the revenue recognition will start potentially something H1 this year, but then towards end of the year when we get the underlying works with our teams, with suppliers, with customer moving. So that's a little bit the dynamics. And I think it's quite typical with these larger ones that it takes 6, 8, 10 quarters to deliver those. They are big projects. And when we do POC accounting on them, this is the outcome from a revenue point of view.
Antti Kansanen: And I guess you're seeing fairly stable outlook for, let's say, the smaller ones. So the ones that you would book this year and would still contribute in a meaningful manner on revenues, so one would assume that the sales mix improves actually year-over-year, driven by kind of service growth and flattish equipment. Or is that a bit of a stretch?
Sami Takaluoma: That's good thinking, Antti. As stated, so we see good amount in our pipeline of those small and medium-sized ones. And 2025 showed that we are winning also a lot of those opportunities.
Antti Kansanen: Okay. And then the second one was on the Aggregate side. And I mean, it's a good order growth end of '25, I guess, positive indication now that we are heading into the summer season. Do you want to talk anything about how you're seeing kind of the European demand trending early this year? I mean you talked about that kind of there's a sentiment improvement throughout '25, but maybe not much happening on the utilization rates or the work situation for your end customers. So are you seeing kind of an improvement on that front? And are you seeing kind of volume pickup that would, let's say, compensate or more than compensate on the increased cost base that you have on the European production setup?
Sami Takaluoma: Yes, from the European market first, so yes, 2025 was already the year of the pickup. And it came from, let's say, Eastern European countries, if I put it this way. At the same time, we also had low hours coming to the machines located in other countries. So kind of like not creating the aftermarket potential. But from the new equipment point of view, there was a clear pickup and we see that the pickup is to stay. So there is a continuous request for quotes and also then winning the orders from the European countries.
Pasi Kyckling: If you look at the distributor inventories, that continues to be an encouraging data for us. The decline started spring 2025 and continues to be at sort of a level where we expect it to be supportive for our business in the short-term outlook.
Antti Kansanen: Is it too early to comment anything on the potential summer season or the bigger Central European regions that have been historically big markets for you, the Germany and the France, countries like that?
Sami Takaluoma: Yes. I think that Germany, which was somehow may be impacting also the pickup of the Europe last year, the Germany stimulus package, which maybe have not creating so much of business coming from the actual Germany yet, so that is a little bit positive upside potential that when that governmental money actually is flowing down for the provinces and for the actual infrastructure projects. So that could be creating that normal seasonality in that sense, but no real signs of that yet.
Operator: The next question comes from Vlad Sergievskii from Barclays.
Vladimir Sergievskiy: I'll start with commodity mix, please. Could you talk about the difference in demand levels between gold customers and industrial metal customers? Is there a notable difference in urgency to take investment decisions for those group of customers? Also, could you provide an update of what your exposure to gold customers was in 2025 and whether it could grow in 2026?
Sami Takaluoma: Vlad, good to hear you. Yes, the gold customers have had much faster decision-making process than the so-called traditional commodity metal customers. And of course, it has been driven by the very high record high prices of the gold and not waiting to get orders in and also the execution of the delivery projects moving forward. So that has been one area that we did see already '25 and seems to continue at the moment.
Vladimir Sergievskiy: Excellent. Sami, if I can ask you about one specific project as well. It's the Reko Diq project, which obviously, you won some nice orders previously. What's the security situation over there right now? Because as you probably have seen, Barrick has put this project under review, given the security concerns, I think, it was last week. Would you give us some idea of what your backlog exposed to this project? And what's your view actually from a Metso perspective on what's going on?
Sami Takaluoma: So let's start for the very important one, which is the security of the people, and that has been on a very high security level from the beginning, and that was also something that we worked on together with Barrick to ensure that their people and our people have the maximum security all the time. So there has been no real issues that -- or incidents or anything like that. And then from the perspective of Barrick making the moves, we have, of course, taken a lot of these things into account between the contract between Barrick and Metso. And in that sense, there is no real issues for Metso at this point. Backlog situation, I don't remember the numbers myself.
Pasi Kyckling: So if we start from the orders that we have reported, so second half of 2024, we recorded roughly EUR 150 million worth of recorded orders. And certainly, back to earlier discussion that we have here, some of those have been delivered or are in delivery as we speak. But I guess we will not go to sort of exactly there, how much has been delivered and how much is still in the backlog. But as a starting point, from H2 '24, we have that EUR 150 million-ish order intake from Reko Diq.
Vladimir Sergievskiy: Excellent. And just to clarify, you continue to work on this project as normal? There is no like schedule adjustments or anything like that?
Sami Takaluoma: As per today, we act normally together with Barrick.
Operator: The next question comes from [ Alex Jones ] from BofA.
Unknown Analyst: Just one following up on the question earlier about Aggregates demand in Europe. Could you expand a little bit what you're seeing in other regions of the world and whether you've seen any changes in any of those into 2026?
Sami Takaluoma: Let's start by three baskets we normally talk about, so U.S., Europe and then the rest of the world. And maybe this time, I can start from the rest of the world. And there we have seen quite a good activity level last few months. Obviously, this third basket is the smallest of these three. But nevertheless, we are happy that our truly global exposure also for the Aggregate business is yielding results. So we have a good growth numbers coming from many countries in that basket. And Europe, we discussed. And then U.S., which normalized quite well during 2025 to the normal levels, so there, we have also this positive signal to our direction, what Pasi was saying that we do see that the distributor inventories have been developing positively from our perspective, that distributors have been able to move the machines to the customers, and that gives a good normal situation for us for the beginning of 2026 situation.
Operator: The next question comes from Andreas Koski from BNP Paribas.
Andreas Koski: First, if I can come back to the order intake in Minerals, it's been a lot of discussions about large orders versus small and midsized orders. And in Q4, as you pointed out, you have had 2 large orders. And on top of that, you had the Almalyk order as well. I understand that the pipeline remains strong, but to repeat this kind of order level, EUR 1.1 billion, EUR 1.2 billion in the Minerals segment, do you think that we need to see large orders coming through also in the coming quarters? Or is it possible that we could expect a bounce in the small- and mid-sized orders?
Sami Takaluoma: Yes. Thanks, Andreas. As said, we do see that the activity for the small- and mid-sized stays in a good level. And then it's about the timing, timing question that when they actually come as a PO. But for your question, so obviously, it helps when we get the larger ones. And as our market outlook statement also says, we expect to remain on the same level as in the Q4 when we did see that these larger ones started to come, and we do know that we are having discussions with the customers with the so-called final stage. So the expectation is about the same that we had during the Q4 that expecting the larger ones to come Q1, H1. So there is nothing at the moment saying that, that wouldn't happen. And to get those quarterly order intake numbers together, it is the mix of the larger ones, the mid ones, and then good strongly single-digit development in the aftermarket.
Andreas Koski: Understood. Very clear. And then secondly, on Aggregates, maybe a bit short term. But in Q4, you had very strong deliveries. Usually, we see somewhat stronger deliveries in Q1 than in Q4. Is that what we sort of should expect also going into 2026?
Sami Takaluoma: Yes, I think you spot it nicely, that one. So we did have a good amount of deliveries in the Q4, and that is making us to think that then the normal situation, as you were referring that stronger in Q1 than Q4, maybe it's not the case in this quarter now. So it's going to be good delivery, but not maybe stronger than Q4.
Andreas Koski: Yes. Understood. And then lastly, if I look at the P&L, the admin cost line increased a lot. Is that more or less only related to the one-offs or capacity adjustment charges that you took in the quarter? Or is it something else?
Pasi Kyckling: Yes. Thank you, Andreas. It's primarily those items impacting there. We have also some other variations, typical year-end stuff, but nothing material there. The bigger change is those one-off type items.
Operator: The next question comes from William Mackie from Kepler Cheuvreux.
William Mackie: A couple, please. First of all, with regard to the Americas or North America, could you comment a little on any impact potentially from your customers on Section 232 and how the situation sits between your Canadian operations and sell-in into the U.S.A.? And then on a regional basis, the question is more around Minerals. When I look at the regional sales, I know there's a lot of FX effects in there. But South America seems to have come down a little and North America flat. I wonder if you'd comment on how the order versus revenue development has been in the Americas, South and North, and what your outlook is, particularly in South America?
Pasi Kyckling: Yes. Maybe, William, I'll start from the Section 232. So when it comes to Minerals, this has been in place since it was introduced. I don't remember the exact month, but during the autumn -- August 2025 or if I was wrong, apologies for that, but that time frame anyway. And our approach, like with other tariffs, has been that we price this into our customer deliveries. And then, that has been successful. It looks that this is the approach the industry has also taken. Then when it comes to Aggregate, the situation is a bit different. So you may, William, remember that this steel and aluminum derivatives discussion has been ongoing for some time. And when it comes to crushers and screens, the primary aggregate equipment, they are still excluded from Section 232. And there was speculation that this would change already late last year. We haven't seen that. And let's see if they continue to be excluded for good or if there is a change in this regard.
Sami Takaluoma: And then for your second question, of course, we can maybe comment about the FX. But that's, of course, living its own life. But when it comes to the Americas, both North and South, so for obvious reasons, they are the 2 largest regions that we do business in. And looking at the pipeline, so that is strong in both. So we are truly a global company, and so it's especially the Minerals business. But obviously, we have quite a lot of current opportunities in both of these continents. And that then has the impact for the FX later on or not, it depends on how the world is at that moment.
Pasi Kyckling: And then William, when it comes to currencies. So I think we have seen throughout 2025 sort of appreciation of euro against most currencies that are relevant for us, and that impact is then similar in the orders and revenue. So that shouldn't -- the FX, of course, impacts the sort of total levels, pushing euro level slightly down, but the impact is similar to orders and revenue.
William Mackie: A short follow-up, if I might. With regard to your strategy execution, great cash inflow, strengthened balance sheet recognized by the agencies. You clearly have more flexibility on capital allocation. You've made a couple of disposals. Are there more? But more importantly, what is the environment like for M&A additions? And what should we expect with regard to your acquisition-based strategy this year?
Sami Takaluoma: Yes. Thank you for that question. As we stated in the Capital Market Day, this is a growth strategy. And we know that by focusing, we are able to grow organically. But in the growth part of the success of the strategy is also the inorganic part. And we are having quite a good amount of interesting targets, if we put it this way. How is the environment? Environment is quite normal in many sentences. Obviously, we are looking for those kind of targets that are clearly supporting our strategy and filling in either the technology gaps that we have or creating us synergies to really accelerate our growth initiatives. So we are active in that front as well, as you saw that we just closed one in Australia.
Pasi Kyckling: And then when it comes to the other side of the portfolio, divestitures. So the Ferrous, Heat Transfer business and [ Loading, Hauling ] just completed. We don't have anything else ongoing in that side. So looking for growth for now.
Operator: The next question comes from Edward Hussey from UBS.
Edward Hussey: One more question for me. I just wanted to ask about -- so I mean, clearly, a strong Minerals equipment sales growth in the quarter. I'm just trying to sort of work out how this is going to translate to aftermarket in the coming quarters. I mean do you mind just to give me a sense of what the usual lag is between equipment installation and when it comes to an aftermarket? And also sort of what kind of level of aftermarket sort of take up can we expect? I mean what's the sort of aftermarket intensity on these sort of large projects that you're installing?
Sami Takaluoma: Thank you very much. That is always good when we get the new installed base out there in operation. The business that starts immediately is the consumables business and then also the expert services in the field. When it comes to the spare part business, that typically takes a few years before there starts to be significant amount of that type of business coming out of the newly installed base. But all in all, it starts immediately with the consumables side. And then the big kind of like upgrade potentials typically then come some equipment at the year 5 and most of them at the year 10. So this is like a long-term game in that sense to create a large installed base for the future aftermarket growth.
Operator: There are no more questions at this time. So I hand the conference back to the speakers for any closing comments.
Juha Rouhiainen: All right. Thanks very much for your participation and for questions and discussions. We conclude this conference call here. We will be back on April 22 for first quarter results. And before that, we are looking ahead for quite an active conference and road showing season. So looking forward to see many of you in the next coming weeks face to face. But this concludes this call. Thanks again, and goodbye.
Sami Takaluoma: Thank you.
Pasi Kyckling: Thank you.